Operator: Welcome to the third quarter 2009 L.B. Foster earnings conference call. (Operator Instructions) I would now like to turn the call over to your host for today’s conference, Mr. David Russo, Chief Financial Officer. Please proceed.
David Russo: Thank you. Good morning ladies and gentlemen. Thank you for joining us for L.B. Foster Company’s earnings conference call to review the company’s third quarter 2009 operating results. My name is David Russo and I am the Chief Financial Officer of L.B. Foster. Hosting the call today is Mr. Stan Hasselbusch, L.B. Foster’s President and CEO. This morning, Stan will provide an overview of the company’s third quarter performance, give an update on critical business issues and discuss market conditions. Afterward, I will review the earnings press release issued earlier this morning and then we will open up the session for questions. Means to access this conference call via webcast were disclosed in our earnings press release and were posted on the L.B. Foster company website under the Investor Relations page. This web cast will be archived and available for seven days. Today’s call includes forward-looking statements and information within the meaning of the Private Securities Litigation Reform Act of 1995. Such statements relate to future events and expectations and include known and unknown risks and uncertainties. Future actual results may differ greatly from these statements and expectations that are expressed today. All participants are encouraged to refer to L.B. Foster’s annual report on Form 10-K for the year ended, December 31, 2008, as well as to other documents filed with the Securities and Exchange Commission for additional information about L.B. Foster. Additionally, while forward-looking statements will be made today, it is L.B. Foster Company’s policy to not provide specific earnings guidance. With that, we will commence our discussion. I will turn it over to Stan Hasselbusch.
Stan Hasselbusch: Good morning. Thank you David and thanks to all of you for attending our third quarter 2009 earnings call and web cast. This morning we announced the results for the third quarter. Sales were $92.4 million down 36.5% from the third quarter last year. Earnings per share in the quarter were $0.60, down 21% from the previous year’s quarter. Bookings were $107.5 million and corresponding backlog was $155.5 million. While this was 13% less than the backlog at the end of the third quarter last year we were actually 10.7% ahead of this year’s second quarter backlog numbers. The global recession continues to negatively impact all of our major product lines. Tubular sales were down 69%, construction sales were down 31% and rail sales were down 37%. From a product standpoint let’s start with tubular where well head prices and rig counts are both down over 50% from last year and continue to hurt our coating business. Square footage coated in the quarter was off 80% when compared to last year and we do not expect any major improvements in coating until the second half of 2010. On a positive note in tubular we are pleased to announce the formation of a joint venture with Lally Pipe and Tube to manufacture pipe couplings in Houston. The couplings will service both our needs in the pump column business and Lally’s needs in their limited service applications. Initially we will produce couplings for their internal consumption but eventually we would expect to explore other threading and market opportunities. This facility is currently under construction and is expected to be operational in January utilizing state of the art robotic equipment. We are pleased to be working with Lally in this venture. Their values and culture match up very well with ours. On the construction side while revenues were down in piling we were buoyed by the fact that bookings were $47.6 million, 86% ahead of third quarter 2008. We of course benefited from the $20.5 million order we received to supply flat sheet piling to the Panama Canal Rehabilitation Program. This along with a slightly larger US Army Corps of Engineer project in New Orleans will provide a solid revenue base for piling over the next three quarters. Expectations in the construction market are weak for 2010. Heavy spending will be flat at best and the combination of shrinking revenue and the tight credit markets will continue to drive non-residential spending down significantly. This coupled with the inability of Congress to pass a new Transportation Bill will make the construction segment of our business seriously challenged again next year. In rail, car loadings and intermodal traffic continue to be off significantly, 16% and 16.6% respectively. The drop off which further indicates economic decline is severely impacting markets that formulate our sweet spot in rail distribution, the industrial short line and regional markets. As a result our distribution business was down in rail in the quarter 52.5% from last year. Concrete ties were also down 8.4% quarter-over-quarter. The drop off was primarily in Spokane and related to the economic downturn in the industrial market. Regarding the concrete tie issue discussed in the past two quarters we continue to work with the UP on this matter and the system wide inspection process is expected to be concluded by year-end. A real bright spot in rail has been our transit business. As I said last quarter they are one of the beneficiaries of the stimulus package. [Inaudible] and his group booked a record $10.3 million in the quarter substantially ahead of the $1.7 million booked in the third quarter of 2008. In summary, our markets continue to be challenged in this difficult economic environment. I can assure you that we remain committed to focusing our energies on containing costs and improving our operational efficiencies to generate positive cash flow for the company. We have a strong balance sheet and intend to use it to our advantage in the future. By the way, I am not sure whether you had seen this yet but in the November 2 edition of Forbes Magazine that hit the newsstands this week L.B. Foster Co. was again named to their 200 Best Small Companies in America list. We are very proud of this honor and on behalf of the dedicated employees at L.B. Foster I would like to thank all of our many stakeholders for your ongoing confidence and continued support. Now I would like to turn it back to David for our financial review.
David Russo : Thank you Stan. I would like to summarize some of the adjustments reported in the earnings release from this morning. The first one is we did realize a gain on the sale of marketable securities of $1.2 million which is included in the other income expense line on the income statement of the earnings release table. We also recorded slow moving inventory charges of $1 million and reductions in inventory values resulted in unfavorable gross profit adjustments of approximately $1.5 million. The gain on the sale of marketable securities will be excluded from the ensuing discussion of operating results as it is non-operating in nature. So with that in mind I will begin the review. Sales for the third quarter of 2009 were $92.4 million compared to $145.6 million in the prior year, a 36.5% decrease. The sales decrease was due to a 37.2% decline in rail product sales, 31.1% decrease in construction product sales and a 69.1% reduction in tubular product sales compared to last year’s third quarter. The construction product sales decline was due to a decrease in piling sales partially offset by an increase in fabricated product sales and an increase in concrete building sales. Both the bridge and concrete buildings markets have benefited from stimulus funds. The third quarter tubular decrease was due to a sales reduction in coated products and to a lesser extent to a sales decline in threaded products. After both tubular divisions had strong years in 2007 and 2008 it appears that 2009 will be one of the segment’s worst years in quite awhile. The energy markets served by our coated division have been robust for the past several years and while we continue to anticipate strength over the longer term we are experiencing an extremely weak market at this time and expect it to continue into 2010. Our threaded pipe division is also experiencing very slow activity and pipe pricing has moved downward with steel prices. The 37.2% decrease in rail sales was driven by across the board reductions in all product lines with the exception of our Allegheny Rail products. Rail distribution which has been one of our more consistent performers over the past several years was down over 50% compared to last year’s third quarter. Our transit division revenues declined 39% in the third quarter of 2009 compared to the prior year. However, as Stan has mentioned the popularity of mass transit, coupled with the stimulus legislation has aided this division to book enough business to increase its backlog by almost 300% compared to last year. Concrete tie sales have held up fairly well. They are reporting a sales decline of 8.4% for the quarter. Our Grand Island and Tucson tie facilities were approximately 45% utilized for the Union Pacific Railroad and we are actively marketing both heavy haul ties as well as industrial concrete tie from Grand Island. This new tie is currently being marketed into a very soft industrial marketplace. In Spokane we continue to produce ties for transit authorities, other Class I railroads, contractors and industrial customers and we continue to experience reduced inquiry in bidding activity. As a percentage of this quarter’s consolidated sales, tubular accounted for 3%, construction was 52% and rail was 45% of the total. As mentioned in our earnings release and as Stan also mentioned, backlog stood at $155.5 million at the end of the third quarter down 13% from September of 2008. This number did actually increase, however, over June of this year by 10.7%. Bookings for the third quarter decreased by 7.2% to $107.5 million. This year’s year-to-date nine month bookings totaled $316 million down approximately 23% compared to the prior year. Gross profit margins were 19.2% in the third quarter, an increase of 360 basis points from last year’s third quarter. The increase in margins was due to a favorable swing in LIFO adjustments of $10 million partially offset by an increase in unfavorable inventory valuation adjustments of $3.9 million based upon declining material costs, increased unfavorable manufacturing variances of $827,000 and increased slow moving scrap and obsolescence costs of $500,000. The unfavorable manufacturing costs are certainly due to significantly reduced production volumes at every facility with the exception of our Bridge division and our concrete buildings business. SG&A expense decreased by 10.2% to $9.1 million in the third quarter of 2009 due primarily to decreased costs related to incentive compensation, travel and entertainment expenses and decreased bad debt expense. SG&A represented 9.8% of sales in the third quarter of 2009 as compared to 6.9% of sales in last year’s third quarter. As a result of the foregoing, third quarter operating income was $8.8 million compared to $12.6 million in last year’s third quarter a $3.8 million or 30% reduction. As a percentage of sales operating income was 9.5% of this year’s sales versus 8.6% of last year. Interest expense was $328,000 in the third quarter of 2009, $172,000 or 34.4% less than the third quarter of last year. The decline was due to reduced borrowings and to lower interest rates on certain debt instruments. Interest income was $169,000 this year compared to $617,000 last year, a decrease of $448,000 or over 72% due to a significant decline in interest rates from the third quarter of 2008. We repeatedly disclosed that our cash has been invested principally in money market funds that have been guaranteed by the United States Treasury Department. Well, Treasury did announce they did let their guaranty lapse towards the end of the third quarter so we will be reevaluating where our cash goes although protection of principle remains a high priority. Third quarter pre-tax income was $8.6 million compared to $12.7 million in last year’s third quarter, a $4.1 million or 31.8% decline. As a percentage of sales third quarter pre-tax income was 9.4% compared to 8.7% in last year’s quarter. The third quarter 2009 income tax rate was 37.6% compared to 35.9% last year. Net income once again adjusted for the gain referred to earlier decreased 33.6% to $5.4 million or $0.52 per diluted share compared to $8.1 million or $0.70 per diluted share last year. Turning to the balance sheet, debt at the end of the quarter was $22 million compared to $24.5 million at the end of the second quarter of 2009 and $27.5 million at the end of year-end 2008. Capital expenditures were $2.5 million for the third quarter compared to $900,000 the prior year quarter. Approximately $1.4 million of this quarter’s spend was principally for land and early construction of a building for a joint venture we recently entered into with Lally Pipe and Tube that Stan mentioned in his discussion. The remainder of the capital was related to facility maintenance, capital and IT infrastructure improvements and upgrades. Depending on the timing of certain planned projects we expect capital expenditures are likely to range between $6-7 million in 2009. We continue to expect to generate positive cash flow from operating activities in 2009 in excess of our capital expenditures, debt service costs and share repurchases. For the second quarter since the company announced its share repurchase program in the third quarter of 2008 we did not purchase any L.B. Foster common stock during this quarter. We continue to believe that our share repurchase strategy helps to provide a balanced approach to providing long-term value for our shareholders. Debt as a percent of capitalization was 8.8% at the end of September compared to 9.9% at the end of June 2009 and 11.2% at the end of December. The decrease during this quarter was principally due to an early payoff of approximately $1.1 million of fixed rate debt that had higher interest rates and where our prepayment penalties lapsed. Our leverage ratio is just under 0.6 to 1 down from 0.63 to 1 at the end of June and our interest coverage was more than 25 to 1. Cash at September 30, 2009 was $122 million and we had $121.1 million of that invested principally in AAA rated money market funds which we discussed a little earlier. With regard to working capital, accounts receivable and inventory net of accounts payable increased $2.4 million during the third quarter and decreased $3.8 million from year-end 2008. Accounts receivable increased by $1.7 million during the quarter primarily due to an increase in sales for this September compared to June of 2009 and DSO remained flat at 49 days. While payments related to a couple of large projects have pushed out a little, we believe our AR portfolio remains in very good shape. Turning to inventory, inventory increased by $2.6 million during the third quarter of 2009 reversing some of the $8.6 million reduced during the first half of 2009. Looking forward we believe the current recession and continued credit concerns and expected reduction in tax receipts by state governments in upcoming months will present challenges to L.B. Foster. As a result of reduced demand for certain of our products, continuing falling commodity prices over the last several quarters and the heightened competitive environment we expect to continue to battle margin compression for at least the next two quarters. We will continue to run our business with a balance of opportunism while managing risk in this uncertain environment by proactively adjusting to what we see in our markets. We believe that when conditions do improve the markets we participate in will be some of the first to benefit from such improvement. L.B. Foster has tremendous advantage of navigating through this period of uncertainty in an extremely strong financial position. As I mentioned we ended the quarter with $122 million of cash and we also have over $72 million of available credit giving us the availability to take advantage of opportunities as future circumstances develop. That concludes my comments on the third quarter. We will now open up the session for questions.
Operator: (Operator Instructions) The first question comes from the line of Liam Burke - Janney Montgomery Scott.
Liam Burke - Janney Montgomery Scott: A little more detail on the joint venture, you are contributing your purchase land and you are contributing capital for the construction of the building. What other assets are being contributed to the venture and roughly what would your ownership be in it?
Stan Hasselbusch : Assets would be basically cash ownership position of 45%. That would be for the equipment, the land and the building. We are buying the land and leasing it to the joint venture.
Liam Burke - Janney Montgomery Scott: On the piling, there is some good news with New Orleans and the Panama Canal. There is a lot of bad news in the nature of the commercial construction market. Is there anything in the middle where you are seeing any signs of improvement?
Stan Hasselbusch : Unfortunately there is not a lot of good news in the piling side of it. Piling shipments over the last 12 months, total piling shipments are down over 50%. I think our tonnage is down 42% year-to-date. Pricing has dropped 20-25%. The day in day out business has not been there. That is driven by the non-residential building, some of the industrial applications. The truckload business is gone. We have been very fortunate in booking some large jobs which have been good but primarily at compressed margins but our piling group has done a very good job really being able to go out and identify a lot of jobs that we are seeing that are being delayed or even cancelled. I think 42 of the states are running at negative budgets so there is a hang up in some of the state work getting out there and getting approved. So it is a very difficult situation and we are dealing with it as best we can and I think our piling group is just doing a very superb job at handling this difficult time. We do also expect to see some pick up from the stimulus but there hasn’t been a lot of it in the piling end really.
Operator: The next question comes from the line of James Bank - Sidoti & Co.
James Bank - Sidoti & Co.: So you are certainly having some good activity on the larger projects but if I am hearing you correctly, I know it is only October but you are more or less implying the top line, the sales number in 2010 is in fact could even be down from 2009?
Stan Hasselbusch : I’m not going to say that at this point but it is not going to be any V shaped recovery. I can assure you of that. I think it is going to be pretty lumpy at least going into the first two quarters of next year. We didn’t really talk about this but the Federal Transportation Bill which expired at the end of September, a new bill we all get excited about with additional opportunities with it. We don’t think that is going to be approved at least in the first half of next year. So it is going to be tough. It is going to be tough. I would be foolish not to tell you that.
James Bank - Sidoti & Co.: The backlog of $156 million I think you referenced how quickly that would go but I didn’t catch that.
David Russo : I don’t know if I said anything about it. Typically the sweet spot for our backlog at any one point is anywhere between 3-9 months. At any one point in time for the whole backlog to work off it is usually the better part of 11-12 months.
James Bank - Sidoti & Co.: So of this number then you would expect this to not go in the fourth quarter?
David Russo : Some of it certainly will but not all of it.
James Bank - Sidoti & Co.: Getting into the adjustments in the quarter it looks like it is more or less net to neutral I think with the sale of the marketable securities, the charge for slow moving inventory as well as the reduction in the salaried workforce. The LIFO credit seemed to have benefit you considerably. I was wondering if I could get that on a per share basis and I think you had about $4.5 million of LIFO credit in the first half of the year. If I could maybe get the per share basis of the first and second quarter too for apples-to-apples?
David Russo : We don’t really look at those items discretely and start calculating EPS. It is very easy to take for the quarter the $4.9 million and apply an effective tax rate and you are probably going to get somewhere around $0.30. So you can do that for any one quarter or year-to-date. Certainly the third quarter was where the preponderance of our LIFO credit.
James Bank - Sidoti & Co.: That was $10 million right?
David Russo : No. $4.9 million for the quarter. The entire nine months is $6.7 million. The $10 million I referenced is the swing from quarter-to-quarter this year versus last year because last year we had LIFO expense.
James Bank - Sidoti & Co.: I just see here a favorable change of LIFO adjustments of 14.5.
David Russo : That is year-to-date. You are in the year-to-date. You are looking at nine months.
James Bank - Sidoti & Co.: So the third quarter was $4.9 million and the first half it was $6.7?
David Russo : For the first nine months it was 6.7.
Stan Hasselbusch : Year-to-date it was 6.7.
David Russo : For the first half you are looking at less than $2 million.
James Bank - Sidoti & Co.: As I X out that LIFO credit it looks like gross or I think you even supplied it was about 15.8% which is pretty good but then in the press release you referenced that certain facilities still can’t cover costs at these low volumes. I still think that 15.8% is a pretty good achievement. Is this press release trying to imply that would go south from there or just at the very least is that sustainable from here?
David Russo : There are two different areas. You have gross profit on our sales which you are right they are not better than last year but they are holding up. The other thing is we look at one of our metrics is just the plants and whether they fully absorb their variable and fixed costs. What we are saying is with these low volumes that we have been experiencing as many facilities you see in other companies we are not covering our fixed costs in all areas.
Operator: The next question comes from the line of Mark Zinski - 21st Century Equities.
Mark Zinski - 21st Century Equities: I wanted to touch on light rail briefly. There has kind of been some enthusiasm related to stimulus funding. Some of the European manufacturers are apparently pretty interested in what is going on in the states. Can you comment as to what kind of activity you are seeing in that particular space?
David Russo : You broke up quite a bit but I think you were talking about high speed rail?
Mark Zinski - 21st Century Equities: Yes.
Stan Hasselbusch : There is some in the stimulus package that has been obligated. I believe that has been mentioned but I think the applications we are seeing are much more than the $8 billion that actually has been authorized. We really haven’t seen any major projects take off yet. We are watching a couple of areas that could possibly go but there is nothing that has really taken off yet.
Mark Zinski - 21st Century Equities: Do you think there is the potential that the light rail could help mitigate some of your declines in the rail business or do you think it will be pretty immaterial.
Stan Hasselbusch : I think it is going to be immaterial at least for the next 15 months.
Mark Zinski - 21st Century Equities: Do you anticipate any severance expense in the next quarter?
David Russo : Could you repeat that?
Mark Zinski - 21st Century Equities: Do you expect any severance expense in the quarter?
David Russo : We certainly don’t know. We are going to right size the business as we get a little more clarity and forecast as we go though our operating plans and see what next year is going to look like but right now we don’t have any firm plans.
Mark Zinski - 21st Century Equities: On the joint venture principally what end markets would your products go into then with the joint venture?
Stan Hasselbusch : Ours would go into the pump column business which is used in water drilling.
Mark Zinski - 21st Century Equities: So this kind of diversifies the end market for you?
Stan Hasselbusch : No it doesn’t. We use them anyway. We entered the joint venture with the intention we consume couplings. We consume 50 to 50,000 couplings on an annual basis. Lally I think is very similar in their usage. This will ensure is quality, pricing and availability which has been really a stickler to us. We don’t really plan on expanding that business to other markets initially but we are looking at possible markets to take it to which could include oil and gas, micro piles, a number of different areas that we could look at.
Operator: The next question comes from the line of Scott Blumenthal – Emerald Advisers.
Scott Blumenthal – Emerald Advisers: James got everything I needed on the LIFO adjustments but could you just address what you might see for the reason of the increase in inventory at this point?
David Russo : Kind of ironically when we have LIFO credits it actually reduces our LIFO reserve and increases our net inventory balance. I won’t tell you that is the only reason. Some of it is we are working on a couple of longer-term projects where there is a significant amount of logistics before the inventory actually passes over to the customer. We are going to see some of that have an impact, not a huge impact but a moderate impact, over the next 2-3 quarters as a couple of big projects get worked through. I would tell you with the $4.9 million LIFO credit is a direct increase to the inventory balance you see on our financial statements.
Stan Hasselbusch : I can also assure you that inventory from a corporate operations standpoint is one area we are looking at very hard and really expect to make very positive changes and improvements in our inventory control and management in 2010.
Scott Blumenthal – Emerald Advisers: So then it is safe to say that with you on the job there if we looked at inventory from a tonnage perspective it is still continuing to decline?
Stan Hasselbusch : Year-over-year and quarter-over-quarter inventory is down 20% from the third quarter last year I think from $120 million to $96 million. Tonnage is down but we need to take it down more.
Operator: The next question comes from the line of Brian [Keeley] – [Kenco].
Brian [Keeley] – [Kenco]: I was hoping to ask a question regarding your use of cash, what you are seeing in the acquisition market and those types of issues?
Stan Hasselbusch : Actually the first half of this year we saw virtually nothing. The deal flow was extremely slow and for L.B. Foster just about nonexistent. Things have actually over the last 45-60 days picked up somewhat and there are a few things for us to look at and as we move forward we are hoping to find something that would be a nice match for us in a number of different areas. There are some things now that things have sort of picked up a little bit that we are looking at.
Brian [Keeley] – [Kenco]: We heard from previous companies that sellers weren’t willing to sell at market multiples. Do you see sellers are getting more reasonable or is it just that more people are coming to the table?
David Russo : I think it took awhile number one for the new reality to set in. Everybody saw a lot of companies were producing some of the best results and the highest EBITDA that they have ever produced and we were in a very good market 1-2 years ago and everybody was looking for a multiple of 9-10 times their best year ever. L.B. Foster probably isn’t willing to pay that even in a good market. You have to take a lot of things into consideration now. I think multiples are still not terribly low, they are still fairly high but high off of some pretty mediocre or at least lower results coming in by a lot of companies. You have to recognize we are in, I don’t want to say we are at a bottom but we are certainly in somewhat of a trough and buyers have to take that into consideration. There has been a little bit of credit freed up but lenders still aren’t lending to the multiples they were a couple of years ago. Quite honestly we believe that favors strategic buyers to a certain extent as well. I think they are becoming a little more realistic. The deal flow heated up a little bit late July or early August.
Operator: The next question comes from the line of Scott Blumenthal – Emerald Advisers.
Scott Blumenthal – Emerald Advisers: Can you remind us when you think you will be done in construction and set up in the JV and when you expect to start realizing some activity there?
David Russo : We expect to have completed the building and installed the equipment by the end of the year. We expect some tweaking and production and manufacturing for about 30-45 days after that. By the end of the first quarter we expect to be up and running. We just hope the market strengthens up a little bit for us.
Scott Blumenthal – Emerald Advisers: Would you be able to share with us if you have gotten any contracts or business interest or anything like that?
Stan Hasselbusch : That is going to be for our own consumption primarily. Ours and our partner’s consumption initially. As we bring it along there are a couple of other markets we are going to be looking at to tap into but initially it is going to be for us. There are not going to be a lot of contracts tied into it except for our own consumption.
Scott Blumenthal – Emerald Advisers: I remember, if I am correct, you did say one of the reasons you got into this was because this type of product was of such questionable quality you were unable to acquire what it was you thought you needed and so once you were able to supply your own needs you thought there might be a market for it going forward.
Stan Hasselbusch : That still holds. Just first foot before the second is all. I don’t think if you are expecting a contract announcement in Q1 that probably won’t occur but it is not just couplings. There are other products we will be looking to manufacture as well as market through that joint venture. That is going to come a little bit after.
Operator: The next question comes from the line of James Bank - Sidoti & Co.
James Bank - Sidoti & Co.: On the LIFO credit, I apologize, I am writing as you are speaking. Is there more to come now in the fourth quarter on this?
David Russo : Actually L.B. Foster records its LIFO credits on a pro rata basis. We have booked ¾ of what we believe our full year LIFO credits.
James Bank - Sidoti & Co.: Probably a little bit more to come, maybe a little bit more than the first half which was roughly $900,000 for the first and second quarter respectively in each but nothing I think that would be as material as it was in the third quarter?
David Russo : The first and second quarter when we were going through that period and prices were dropping those two quarters the LIFO credit wasn’t booked ratably. I think you will see a lot more in the second quarter than in the first and of course as your forecasts moved up you see a lot more in the third quarter as well. Like I said it is based on, of course when we get to year end it is actual so there is no more forecasting involved. So year-end will just be a true up as to what our actual LIFO calculations are. Right now our expectation is a little more.
Operator: You have no questions at this time. I would now like to turn the call back over to Stan Hasselbusch, CEO for closing remarks.
Stan Hasselbusch : I would like to thank all of you for your ongoing support. This is our last webcast of the year. I hope all of you have a wonderful conclusion to 2009. Have a very safe and enjoyable holiday season. Thanks again. We will see you all in 2010.
Operator: Ladies and gentlemen that concludes today’s conference. Thank you for your participation. You may now disconnect. Have a great day.